Operator: Good day, ladies and gentlemen, and welcome to the Terex Corporation Second Quarter 2017 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] I would now like to introduce your host for this conference call, Mr. Brian Henry, Senior Vice President, Business Development and Investor Relations. You may begin.
Brian Henry: Good morning, everyone, and thank you for joining us for today's second quarter 2017 financial results conference call. Participating on today's call are John Garrison, President and Chief Executive Officer; and John Sheehan, Senior Vice President and Chief Financial Officer. Following the prepared remarks, we will conduct a question-and-answer session. Last evening, we released our second quarter 2017 results, a copy of which is available on our website at terex.com. Today's call is being webcast and is accompanied by a slide presentation, which includes a reconciliation of GAAP to non-GAAP financial measures that we will use during this call and is also available on our website. All per-share amounts in the presentation are on a fully diluted basis. We will post a replay of this call on the Terex website under Investor Events in the Investor Relations section. Let me direct your attention to Slide 2, which is our forward-looking statement and description of non-GAAP financial measures. We encourage you to read this as well as other items in our disclosures, because the information we will be discussing today does include forward-looking material. With that, please turn to Slide 3, and I'll turn it over to John.
John Garrison: Good morning, everyone, and thank you for joining us and for your interest in Terex. I will start by summarizing our second quarter performance, followed by a review of the progress we are making executing our strategy and a discussion of our business segments. John will cover the capital market actions we are taking and review the financial results including details of our improved full year 2017 guidance. I will follow with a brief summary before we open up the line to your questions. We continue to make progress in the second quarter, sales of 1.2 billion were better than anticipated, driven by a stronger than expected North American market for Aerial Work Platforms. Cranes returned to profitability in the quarter as we are seeing the benefits from their restructuring actions. This is a significant accomplishment by the Cranes team. AWP benefited from higher than expected volume although margins remained under pressure. MP continued its strong performance. We delivered adjusted earnings per share of $0.51 and generated $23 million of free cash flow. For the second straight quarter, we grew year-over-year backlog in each segment. When we remove the impact of the divested businesses, our backlog grew 36% and bookings grew 17%. Combining first half results with the current view of market dynamics, operational expectations for the second half of the year and our ongoing capital market actions, we are increasing full year adjusted EPS guidance to a $1.05 to a $1.15. John will walk through the details of our financial results and improved outlook. Turning to Slide 4. I am pleased by the progress we have made over the past 12 months with our strategy to focus the portfolio, simplify the company and implement our “Execute to Win” business systems. We are starting to see the benefits in our operating performance. We recently completed our annual business strategy reviews. Each of our segments have clear, executable plans centered on their innovative product development plans and company-wide transformation priorities. A lot of work remains but we are on track to meet the financial commitments announced at Investor Day last December. Turning to Slide 5. We made meaningful progress on each of our strategic priorities in the quarter. We can close the sales of our loader back-hoe business in the UK and India. These sales complete the focus aspect of our strategy. We delivered on our commitment to focus the portfolio on three segments, Aerial Work Platforms, Cranes and Materials Processing. We further simplified our manufacturing footprint by completing the closure of our Cranes facility in Jinan, China. In Germany, we signed a contract to sale our manufacturing location in Bierbach. And reached agreement with the works counsel which provides the flexibility to implement the remainder of the Cranes Germany restructuring program. A noteworthy element of the Bierbach sale is an agreement to utilize the testing platform where we currently test our largest AC and crawler cranes. So we avoid having to make a costly investment at another location. We reduced SG&A by $21 million year-on-year excluding the impact of higher incentive compensation. Turning to “Execute to Win”, our commercial excellence initiative continuous to make progress. We've remained focused on enhancing performance management tools and improving processed discipline in sales pipeline and account management. Second quarter highlights include starting the salesforce.com deployment for AWP filling key roles in our crane sales in commercial teams and launching targeted growth plans within MP. We're starting to see the benefits from the commercial excellence initiative and are growing bookings and backlog. We continue to implement the initial test of our new disciplined strategic sourcing process in our Wave 1 categories. We've recently hosted two supplier conferences, one in Mannheim, Germany and one is Dallas, Texas. In total, over 2,000 people representing over 1,200 companies attended. Our team did an outstanding job executing the events. This was the first time that Terex was presented as a total company to our supply-base. We clearly demonstrated the substantial opportunity we are offering current and potential new suppliers. I was very encouraged by the discussions I had with both in combat and perspective suppliers. Incumbent [ph] are very focused on maintaining and growth their business with us. And potential new suppliers expects their eagerness to win our business. We have a lot of work ahead of us but I am confident we will achieve significant benefits from our strategic sourcing initiative. To ensure, we maximize this potential, we are making a significant investment in our global sourcing organization. We have dedicated approximately 100 team members to the Wave 1 teams including engineering and supplier quality resources to support the process. The incremental annual cost which is reflected in our corporate SG&A is approximately $10 million. This is a headwind to our 2017 performance as we do not expect to see meaningful savings until the second half of 2018. Turning to Slide 6, I'll review our segments starting with AWP. Please note that the financial highlights backlog and book to bill information can be found in the appendix. The momentum of a stronger than forecasted North American market for AWP products continued to the second quarter, growing residential and non-residential construction demand is helping mitigate the effects of the replacement cycle. Construction demand is driving better utilization for rental customers. While customers are seeing a general more favorable rate environment, not all customers are seeing year-over-year rental rate increases. The combination of higher utilization and recovering rates is positively influencing our customers' CapEx decisions for 2017. The European markets remain stable. We saw good growth in China. However, the South American market remains significantly depressed. Our Q2 AWP margins were lower than prior year. Margins were impacted by competitive global pricing dynamics, higher steel cost and stronger U.S. dollar, primarily versus the British pound. In May, I reviewed our five year strategic plans with the AWP leadership team in Redmond, Washington. The center piece of that strategy is the continued focus on maximizing rental ROIC for our customers and maintaining Genie's position as a market leader in innovation. Genie is well positioned to take advantage of the expected global growth cycle for Aerial. Looking ahead, we are encouraged by the continued growth in bookings, up 14% and backlog of 499 million, which is up 46% year-on-year. Backlog increased for the second quarter in a row in North America, Europe and Asia. Our margin outlook is tempered by pricing in steel cost headwinds that we expect to persist through the balance of the year. We are now anticipating full year sales for AWP to be down about 4% from last year with an operating margin of about 8.5%. Turning to Cranes. Our Crane segment turn the quarter, it was profitable in Q2. We expect this trend to continue. This is a major turnaround and a credit to the entire Cranes' team. Sales were in line with expectations. The aggressive restructuring actions focused on reducing footprint and cost structure are starting to be reflected in our results. The global Crane market remains challenging but we see signs that it is stabilizing. In Europe, demand for large crawler cranes remained lower in the wind energy sector, due to the regulatory changes in the German energy market. We see this continuing to the balance of 2017. In North America, stable oil prices, increasing rig counts and construction growth are leading the higher utilization rates, which is helping to stabilize the market. Investment in the Australian market is beginning to return after this deep declines that started in 2014. Our utilities volume is stable. However, profitability increased as a result of operational improvements including the closure of our Waukesha, Wisconsin facility. Globally, Cranes bookings grew 26% and backlog grew 29% year-over-year. Including in the growing backlog is a notable increase in orders for tower cranes driven by demand in the UK, and North America. As a result of the progress in the Cranes restricting program, stabilizing markets and our improved order book, we are increasing full year guidance. We now anticipate sales to be down about 6% with an operating loss of approximately 1%. Moving to Material Processing. Our MP segment had another strong quarter. Sales were up 9.5% or about 14% when the impact of foreign exchange is removed. MP grew its operating profit by 6.4 million representing a margin expansion of a 130 basis points. Growth was driven our concrete, Fuchs and crushing and screening businesses. After an extended period of lower scrap metal prices, and high channel inventory, our Fuchs material handing business is starting to grow. Fuchs made headway in North America, benefiting from improvements to its commercial capabilities in that region. Crushing and screening is stable in North America and Europe, while the Indian and Australian markets continue to improve. Segment backlog is up 33% year-over-year, driven by crushing and screening and Fuchs. We are increasing MP's full year outlook to sales growth of approximately 9% with an operating margin of about 11%. It is important to understand the permanent role in Materials Processing has in a more focused portfolio of businesses. With expected annual sales of greater than a billion, MP represents about a quarter of our sales volume and a substantial portion of our operating profit. As a proven consistent performer, MP will remain a big contributor going forward. I'll now turn it over to John Sheehan to review our capital market actions and our financial performance.
John Sheehan: Thank you, John. Slide 9 demonstrates how we continue to execute our disciplined capital allocation strategy. In May, we monetized 7 million Konecranes shares for proceeds of $277 million, bringing our year-to-date proceeds up to $549 million. As planned, in April, we repaid the remaining $254 million of our 6.5% notes. This completed the debt refinancing program that in total will reduce our annual interest expense by approximately $30 million in 2017 and $35 million on an annual basis starting in 2018. We are investing in our “Execute to Win” priority areas. We are making transformative changes that will benefit Terex for years to come. And we continue to fund restricting programs that removing structural cost and simplifying the company. Finally, we continue to return capital to the shareholders. We repurchased approximately 15.9 million shares for about $517 million in the first six months of the year. We continue to repurchase shares and as of last Friday, we had approximately $128 million remaining under the previously announced authorization. This disciplined capital allocation strategy including the efficient return of capital to shareholders through share repurchases, we'll continue to govern how we deploy capital. Turning to Slide 10. Overall, the financial results in the quarter were better than forecasted. Revenue of $1.2 billion was down about 9% from the prior year, driven largely by a reduction in sales from the divested construction businesses. Sales in AWP were flat, Cranes was down 15% and MP was up almost 10%. The impact of foreign exchange rates on sales was most pronounced in MP. Excluding the impact of foreign exchange rates, MP sales grew approximately 14%. On an as-adjusted basis, our operating margin was 6.9%. Lower volume in cranes, pricing and steel costs pressure in AWP and the unfavorable impact of foreign exchange rates were drivers of the margin compression. Another factor was higher corporate costs, which included an increased accrual for management incentive compensation. The accrual was increased as a result of our better than expected first half performance and our improved outlook for the balance of the year. On a comparative basis, last year, we reduced our incentive compensation accrual in Q2 to reflect the situation at that time. Corporate cost also included the investment in our strategic sourcing organization and negative impact disaffiliated with foreign exchange. I would also note that we reversed the negative impact of the provision we established in Q1 for transactional tax issue outside the U.S. as the matter was favorably resolved and excellent result by our team. Our net interest expense was approximately $11 million less than the prior year, demonstrating the benefits we derived from our capital restructuring. As a reminder, our overall effective interest rate of 4.8% represents the lowest rate in the company's history. We raised the full year effective tax rate to reflect the settlement of a non-U.S. transfer pricing tax audit that spanned multiple years. We generated positive free cash flow of $23 million in the quarter, even as we continue to invest in our restructuring and transformation programs. In Q2, we used $24 million to fund restructuring and transformation, bringing our year-to-date total to $65 million. A key contributor to cash flow was our continued management of net working capital, which we reduced to 22% of sales, representing a significant improvement compared to last year. I will now summarize the adjustments we made in the quarter. Please note that details associated with the adjustments can be found in the appendix of the presentation including the income statement line items against which they were applied. We expanded our disclosure of these adjustments this quarter in response to your feedback. We hope you will find it useful. We recorded $13 million of favorable restructuring charges, which included an $18 million reversal of a Cranes restructuring charge we booked in Q4 last year. The reversal resulted from a higher than expected production volume and additional work force flexibility achieved through the German Works Council agreement, ultimately leading to fewer employer reductions than previously anticipated. We invested $18 million in external resources across our transformation priority areas of commercial excellence, lifecycle solutions and strategic sourcing. Finally, our ownership interest in Konecranes generated a mark-to-market benefit of $53 million and the sale of our Konecranes shares contributed a gain of about $8 million. Let's turn to Slide 11, and I will walk you through our updated guidance. Based on our first half results, our backlog and our market assessments, we are improving our full year sales outlook from down about 12% to down approximately 6%. We are increasing our operating margin guidance to approximately 4.75%. The expected improvements in the operating results in our three business segments is partially offset by investments in our strategic sourcing organization, increased accruals for incentive compensation and negative FX impacts. These factors are reflected in the revised guidance for corporate and other. We are increasing our EPS guidance range from $0.80 to $0.95 to $1.05 to $1.15 per share which I will bridge for you on Slide 12. We are maintaining free cash flow guidance of $0 million to $50 million. As we expect, the cash flow benefit of our positive operating performance to be offset by higher working capital requirements in the latter part of 2017 as we prepare for 2018. Turning to Slide 12. The main driver of our improve sales outlook is volume followed by foreign exchange. The major offset is the sale of our construction businesses. The EPS bridge illustrates the updates we made in Q1 that included the Konecranes dividend, reduced share count and MP's Q1 performance, which brought us to the $0.80 to $0.95 range. We are now adding approximately $0.15 for improved operating performance, $0.04 from interest and other, and $0.07 from share repurchases, less $0.04 from the change in the effective tax rate driven by the non-U.S. tax issue that I mentioned earlier. This takes us to our current full year EPS outlook of a $1.05 to $1.15 per share. With that, I will turn it back to John.
John Sheehan: Thanks, John. To summarize, we are increasing full year guidance for the second consecutive quarter due to stronger than expected end market, continued progress on our transformation program and the implementation of our disciplined capital allocation strategy. The North American market for AWP equipment is improving sooner than we expected. Our Cranes segment is executing on its structuring program and results are improving. Materials Processing, our most consistent performer is having a strong year and becoming a more important part of our portfolio. While our progress and momentum are encouraging, we have a lot more to do. We met our commitment to focus on our three core segments. We continue to simplify the company implementing our footprint and cost restructuring plans. We will continue to build capabilities through our “Execute to Win” priority areas that will enable us to meet our longer term performance commitments. Finally, we will continue execute our disciplined capital allocation strategy and return capital to shareholders. With that, let me turn it back over to Brian.
Brian Henry: Thanks, John. As a reminder, during the question-and-answer session, we ask you to limit your questions to one and a follow-up to ensure we have time to get everyone. With that, I'd like to open it up for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Jamie Cook with Credit Suisse.
Jamie Cook: Hi. Good morning. I guess two questions, one on Cranes and then the second on Aerials. Even as the adjustments, the profitability in the Crane segment was surprisingly positive in the second quarter, so can you just give more color on the drivers behind the profitability, to that speed up how you're sort of thinking about your longer term targets and then just sort of the backlog surprise queue I guess how sustainable that is that how much is market versus market - end market demand versus market share? And then my second question on the Aerial side, the margins were a little lower than what one of your peers put out this morning, I mean you talked about material cost headwinds, but then you also raised your margin target for the year, so I'm just trying to understand the drivers behind that to the pricing headwinds become less of an issue in the second half? Thanks.
John Garrison: Thanks, Jamie. In terms of Cranes, it was a major milestone for us to return the Cranes business to profitability in Q2. And we are pleased with the progress the team is making. They are focused on executing our strategy, simplifying the business and deploying our “Execute to Win” business systems. In terms of sustainability of the backlog, we are pleased by the bookings and backlog. I would say that the markets on Cranes remain challenging but they are clearly stabilizing and we're seeing that stabilization pretty much across the globe. In terms of Steve and the team is working hard to strengthen our relationship with customers, executing our commercial excellence initiatives and that is translating to improvements in our bookings in backlog that were up significantly over the prior year. So on the on the market side a lot of hard work, the market remains challenging, but it clearly a stabilizing as we go around the world. On the profitability it's really being driven by the execution of our restructuring program, in Q2 we did close the Jinan manufacturing site in China, and we're beginning to see the benefits of the closed plants from previous Waverley, Waukesha, and exiting Aerials business in Brazil. So those activities are showing up. We also saw a better product mix, so we expect that product mix to continue into the second half of the year and with the better visibility that we have to the order book in order coverage on the claim side. We expect that's also going to help drive manufacturing productivity for our Cranes business. So we're on track, the teams working hard, a lot of work to continue to do to execute the restructuring program, but clearly we're pleased to see the business return on profitability in the quarter.
Jamie Cook: Okay. Thank you.
John Garrison: On the AWP.
Jamie Cook: On the Aerial side, yes.
John Garrison: Yeah, thanks Jamie. On the AWP side, again from a market standpoint, we were encouraged as we saw the significant increase in the year-over-year bookings and backlog and again what was encouraging about that Jamie was really across the globe. We saw that North America, Europe and Asia, and so that was encouraging sales were higher than we had forecasted driven principally by the North American market. Again as we put that in context, as we went into this year, it was the third consecutive year of lower areas volume. The good news is the strength in the construction cycle, is mitigating the replacement cycle impacts. So on the revenue side we feel pretty good about where the market - about where the market is. As you've indicated on the margin side in my comments, we did see margin compression really driven by four factors; the global pricing dynamics continues to impact us, and I think if you putting that in context that many of our large customer agreements were entered into in the fourth quarter of last year, a very different economic environment in terms of what we anticipate, and I think what the market anticipated the sales to be so that impacted the agreements that we did have and again as we go forward maybe year that impacted us for the remainder of the year. But we do have customers that are not on program agreements and we're entering into discussions about that. We did see higher steel cost as we talked about in our in our Q1 earnings call we saw a pretty significant rise in steel played especially in Q4 went up of about 42% in state elevated. And the other thing that did impact us in the quarter as a result of our higher production volumes, we actually did have to go into the steel spot market that wasn't covered by some of our steel contracts and purchased more steel on the spot market which impacted our margins in the quarter. FX did impact us unfavorable euro and the pound sterling offset somewhat by favorable RMB in China, and then we also had a slightly unfavorable product mix in the course. So those are four things that impacted the margin in the quarter. We do expect steel prices remain a headwind for the second half and factored that into our guidance. On the pricing side we've already started the conversations with our customers about 2018 pricing, but also more importantly the customers that aren't covered by program agreements about the impact of things like steel on the cost structure. And finally we believe we're going to see better manufacturing productivity in the second half of the year with better order visibility and especially compared to what we saw in the fourth quarter of last year. So I think that's what's driving some of the margin activity in AWP, overall though encouraged by the market dynamics and we're working on the margin aspect.
Jamie Cook: Okay, thanks. I appreciate the color. I'll get back in queue.
John Garrison: Thank you, Jamie.
Operator: Our next question comes from Nicole DeBlase with Deutsche Bank.
Nicole DeBlase: Yes, good morning, guys.
John Garrison: Good morning Nicole.
Nicole DeBlase: So I just want to start by following up on Jamie's question on Aerials. So you mentioned that you are currently talking to customers about increased pricing related to pushing to higher steel cost. I guess what do you think the likelihood is that you'll be able to get higher pricing since the market has been competitive for a while I guess from a competitive perspective, do you think that everyone in the market is trying to increase pricing or is it something that's a little bit unique?
John Garrison: No, I think overall what you know we don't control what the market pricing is. We know what's the competitive industry, what we can do is not to over supply the market, so we try to keep what we believe the supply and demand balance to be in place. I do think there's an opportunity to have informed conversations with customers their business people as well. And when you look at some of the cost inputs that we've seen in the dramatic increase in steel that's the conversation that you can have. Now clearly it will not impact the agreements that we our annual agreements that were in place for this year our program agreements, but where we don't have a program agreements and then setting up the conversations for 2018 we believe we can we can begin to have that price realization or conversation. I think also within overall improving markets and market dynamic basically globally, I think that's also going to help Nicole as I said it's been successive years of year-over-year declines in this business and seeing the demand environment firm up will help the pricing conversations that need to be add.
Nicole DeBlase: Okay, that's really helpful, thanks. And then just a quick question on the guidance and understand that you've now embedded the repurchases that you've done in the second quarter about you know you mentioned that you continue to buy back stock through Friday, so have you included any incremental repurchases in 3Q in your guidance and I guess maybe like your last quarter I think you gave us the approximate share count that was embedded in the full year guidance?
John Garrison: Yes, the full year guidance that we provided the $5 to $15 per share does include the completion of the existing share authorization, and it does assume an average of 95 million shares outstanding for the full year.
Nicole DeBlase: Okay, thanks. I'll pass it on.
John Garrison: Thank you, Nicole.
Operator: Our next question comes from Ann Duignan with JP Morgan.
Ann Duignan: Hi Good morning.
John Garrison: Good morning.
Ann Duignan: Can you give us an update on the strategic sourcing endeavor such if undertaken meaning it seems like there's a significant opportunity there, but at a I think you said $10 million cost this year, can you size the opportunity, timing of the opportunity any color you can give us, and then it sounds like sourcing was not centralized previously, is that true and be why would we not have been buying at least steel centrally previously?
John Garrison: Thanks Ann, so let me start by saying we were very excited about the supplier days that we had. We had well over 2000 suppliers basically a 1000 each representing 1200 companies in Mannheim, Germany through European and Asian suppliers and then in the Dallas for North American supplier. So there was a keen interest, Ann it's really the first time that Terex is presented itself to the supply base. We've grown through 80 acquisitions over time, and if you're supplier you kind of add new which door to go through. So centralizing our strategic sourcing under one organization is something that is new for us we have implemented that. We have not leverage spend horizontally across Terex with the minor exception in some cases in steel buy in North America, but it's an opportunity for us to leverage the overall global spend. So we decided to make the investment to increase our strategic sourcing organization and as we said it's about $10 million that's Paul and his team is important to know that it's centrally coordinated the team members are on wave teams, they remain in the businesses, they're cross functional teams it's not just strategic sourcing people, it's engineers, it's quality supply engineers, and the like and we think that's an investment that's going to pay off significantly for the company as we go forward. Now in terms of timing Ann, of the timing associated really we are following a very rigorous process to ensure that we can maximize potential from the activity. After the supplier conferences we put out the RFIs and RFQs to wave one commodity suppliers that will take us about six to nine weeks to get that back. Then the team is going to have to evaluate RFIs and RFPs and will then select the suppliers that we're going to want to visit with. That will occur and visit them in Q4 will further down select that who are going to do the final negotiations with the commodities and that will be kind of the end of Q4 into Q1 with the selections made of the suppliers going forward in Q1 and then will begin the transition process we do have highly-engineered equipment across all three of our segments, so we'll take some time to transition to the extent. We do transition suppliers and that's needed. And that's why we say we won't see meaningful improvement into the second half of 2018, as a result of the strategic sourcing initiative. So that's timing.
.: And as you said, we've got a 2020 target of greater than 20% ROIC from about 6% today. We said 3% of that was coming from focusing the portfolio were there and we got one small business and it will be complete. 45% of that is going to come from simplify. We're continuing to execute that on our restructuring initiatives. And then we said, 7% to 8% points of that 20% are going to come from all our “Execute to Win” transformational priorities. I would say up to 7% to 8% of sizable portion of that is going to come from our commercial excellence and strategic sourcing initiative. So that's how I like to size at this time. As we go forward, we will get a little bit more precise, but I think given what we're seeing right now, I think one, we're confident that there's a significant opportunity and two, we think it's going to help drive sustain improvement in the business. But again, we won't see it until the second half of 2018. Does that help, Ann?
Ann Duignan: Okay. Yes, it does. Should we anticipate saying it shopping gross margins first or SG&A, I mean is the hanging fruit and things like material cost or is it like indirect spend?
John Garrison: Yeah. Thanks Ann. Principally it's going to show-up in gross margin. Direct material cost is going to be the principal driver. We do have some indirect teams, one of the first way teams is an indirect team, so we anticipate some improvement on the SG&A side and the indirect expand. But I would say the lion share should show-up an improvement in gross margin.
Ann Duignan: Okay. I appreciate the color. I will get back in line. I'll it there. Thanks.
John Garrison: Thanks, Ann.
Operator: Our next question comes from Steven Fisher with UBS.
Steven Fisher: Hi. Thanks. Good morning.
John Garrison: Good morning. Steve.
Steven Fisher: So, it sounds like the improving market conditions and AWP is going to help the segment with the way as you just have to wait for some of those Q4 resets, but as you think about where you are today with the margins and what's possible all the initiatives and if you assume your base case of market demand, would you have any line of sight to getting back to double-digit margins in AWPs in the next one to two years?
John Garrison: In terms of the - I think to describe Steven the impact on AWP margin near term, overall driving margin improvement is something we recognize that we have to do would expect to see incremental margins much closer to the 25% to 30% range on incremental volume in AWP which would drive to that double-digit margin that you're talking about. So we are focused on the AWP team in that margin improvement and that's what we'd anticipated going forward in that business. In a competitive environment, we still think that's achievable.
Steven Fisher:
. :
John Sheehan: So, I would start by saying that this company from my perspective being the new guy is doing absolutely outstanding job on working capital at 22% of sales at for Q2. I think the working capital is managed very well. As we see the stronger backlog that we're experiencing as we see the stronger markets, we are building inventories in the second half of the year for in anticipation of 2018. I would point out that we maintained our free cash flow guidance in the $0 million to $50 million range. As a result of that as the positive performance from the cash flow - positive performance in the operation and the cash flow from that is being offset in the free cash flow area. I wouldn't necessarily put an exact size on it, but I would say in the $50 million to $100 million range and - but this company will continue to manage working capital very, very tightly.
Steven Fisher: Great. Thank you.
Operator: Our next question comes from Andrew Casey with Wells Fargo.
Andrew Casey: Hi, good morning, everybody.
John Garrison: Good morning.
Andrew Casey: I'd like to go back to the sales guidance where the declines were kind of cutting half to down 6%, what if any change in that was related to currency?
John Sheehan: I would say that overall, the change in revenue is really being driven much more by volume then it is by currency. You can see in the chart that we provided with respect to the guidance change that was in the chart set, the components of the change in the revenue for the full year, currency is not a significant impact. I would also say that in general as you've been seeing, we've been seeing a stronger euro in general, a stronger euro is better for us, especially within our AWP and materials processing business and therefore that could be a benefit for us on a going forward basis here.
Andrew Casey: Okay. Thanks, John. And then I guess following-up quickly on your AWP comment. The guidance implies about 160 basis point improvement in the second half to about 9.3% on margin. You mentioned working on price and manufacturing productivity, are you factoring any of that reversal in currency as benefit within the margin?
John Garrison: I wouldn't say that we're factoring a significant amount of currency benefit into the revised guidance that we provided here today for AWP. You are correct that we are projecting improved margins in the second half of the year. And John when he was speaking earlier in his comment, laid out several of the factors just to reiterate some of them, we are expecting more favorable manufacturing productivity in the second half of the year as we increase the production rates especially as compared to last year, we will be producing in Q4 ahead of the sales volume as we build inventory for 2016. Number two, we did have very low sales volume in Q1 and you may recall that there were operational issues that affected AWP back in the first quarter and reduce their margins. Steel will continue to be a headwind in the second half of the year, but with the volumes being lower, the sales volumes being lower, we do expect less spot market buys for steel and we are expecting an improved product mix in the second half of the year fewer sales under program agreement. So overall, those are the factors that are really driving the improvement in the margin in the second half of the year.
Andrew Casey: Okay. Thanks. And if I can ask a second set of questions on Cranes. You mentioned improved tower crane orders in the UK and I'm wondering whether that was concentrate at the beginning of the quarter or if you saw some of that strength potentially extended to July? And then secondly, can you comment whether any of your product line availability within Cranes might be taking orders for 2018 at this point specifically interested in the all-terrain segment? Thanks.
John Garrison: Thanks, Andy. On the last part of the question, we have been successful with the re-launch of our all-terrain cranes with the Demag and we are talking orders and filling in. And are actually starting to fill on some models the late 2017 into 2018. So that launch has been successful. On the tower crane side, I would say we saw a good tower crane order activity in volume basically driven by the U.S. and the UK principally. And in terms of commenting on the order activity in July, again we don't want to get into specific months, but again the underlying market dynamics have remained constant through this period of time. So we're not - I can say this, we're not seeing a precipitous falloff in any market activity. So overall, I think the underlying markets have been pretty consistent from what we've seen, higher than we had anticipated and that's what's driving both the bookings and the backlog year-to-date.
Andrew Casey: Okay. Thank you very much.
John Garrison: Thanks Andy.
Operator: Our next question comes from Stephen Volkmann with Jefferies.
Stephen Volkmann: Hi, good morning.
John Garrison: Morning, Steve. I'm wondering if we can stay with cranes for a minute here, and just talk a little bit about the competitive dynamics in that market, and we've talked a little bit over the past few quarters about pricing pressures, and in certain types of cranes, especially I think kind of coming out of Asia, and then I'm just curious sort of how that coming on?
John Garrison: Thanks. Overall the cranes market it remains challenging, but it clearly has stabilized. We've seen a stabilization of around the world pricing is the cranes unlike AWP the cranes transactions are more transactional based, so it's transaction by transaction commercial excellences is helping as they're having visibility. But is still is the competitive market, we try to compete prudently aggressively, but prudently on the pricing dynamics. As we think about the cranes markets as we go or just kind of do around the world walk, we did see some lower sales in Europe, but then again that was principally driven in the crawler cranes business by the change in the German subsidies. Our Demag all-terrain cranes a lot those produced go into the Middle East and that market's been a little bit softer for us. In North American market is stabilizing, it's not robust by any stretch of imagination, but it has stabilized, we think stabilization of oil and on the oil side of the businesses is helping us there. And then again markets like Australia, which in my opening comments, I said we haven't really seen any volumes since 2014, we're beginning to see not only volume for imports specifically our German cranes produced our Demag line, but also seeing our picking carry line pick up. Towers as we indicated picked up and then our utilities business is relatively stable, principally a North American based business, but we do have sales in to China and they're doing a decent job on the operating side to drive operating margin improvement. So as I look at cranes that that's the market dynamics, it's still challenging, but clearly we're seeing stabilization as we go around the world in our crane efforts.
Stephen Volkmann: And John you made a comment on AWP is that when volume improves pricing discussions go little bit easier, I guess that would apply here too.
John Garrison: It would, I'm not ready to - the cranes business and our forecasting is the challenge it's not quite as clear on the AWP side, we do believe that there is a risk replacement cycle that can be modeled we've shown the model it varies a little bit, the cranes replacement cycle is not nearly as clear as the AWP cycle, but clearly is volume picks up, and there's opportunity that does help firm up the pricing conversations no doubt about that.
Stephen Volkmann: Great. And then just another one as we think about 2018 volume would be whatever it is we can come up with our own estimations there. But I'm just curious relative to the things that you've been doing here in 2017, how should we think about the carryover kind of EBIT benefit from the various cost saves that you've achieved in 2017, what's the carryover impacts of that in 2018 if we hold everything else kind of stable here?
John Garrison: Yeah. So, overall as we're the simplified part of our plan and then restructuring activities yield is about $25 million thus far specifically in the Cranes business in 2017, we think that's going to be a $30 million kind of run rate going forward on the crane side. Our SG&A savings as you recall we talk about $41 million out in 2016 another $21 million out this year of course, we have the incentive comp it that offset that in the strategic sourcing. So those types of activities are what we're seeing going forward John, do you want to comment any more on that?
John Sheehan: No I would also just add that as you know we did restructure our capital earlier this year that will drive a $35 million reduction in interest expense on an annualized basis and the Crane business with has dropped our breakeven now down here to $1.2 billion versus where it was much higher previously as a result of the positive results from the restructuring. I think it's also important to look at the MP business, the MP business is one that doesn't get as much focus by externally, but it's been a consistent contributor for us the sales were up 9.5% this quarter in the margin up 130 basis points up to 12.7% we've seen great growth in our concrete, our Fuchs and our crushing and screening business and that's been quite honestly a consistent performer for us and an increasingly important part of our portfolio. So I would also think about that as you think about modeling 2018.
Stephen Volkmann: Okay, thank you.
Operator: Our next question comes from Joe O'Dea with Vertical Research Partners.
Joe O'Dea: Hi, good morning.
John Garrison: Good morning John.
Joe O'Dea: First just to understand a little bit more on comments around stabilization in cranes, I mean when you look at backlog it's up 29% and I think first half of 2017 orders are running north of 20% better than last year's run rate it seems like it's a little bit better than the stabilization of the bottom, and you're seeing some growth and so, just for clarification on expectations that current demand levels are sustainable and in your view and now it actually set up pretty nicely in terms of what it means for growth next year?
John Garrison: Again clearly don't want to get into the 2018 revenue guidance at this time. But I can say it's part of our commercialized initiatives in working on the account management in the pipeline management. We are having better visibility coding activity, coding activity is picking up, not necessarily always leading to orders, and so the word as I talk of cranes, customers the word that they're using is more stabilizing versus a return to significant growth, and so that's what we're characterizing it. We're obviously pleased by the backlog increases that we're seeing, but again offer relatively small base as well. So yes, we are encouraged not downplaying that, but stabilization on the cranes market is the word we're using for now and as we see it going forward you know we could potentially change our outlook, but that's the word we're using right now.
Joe O'Dea: Got it. And do you think you're getting a bigger piece of the part and you were getting a year ago on some of the initiatives which you've implemented over the past six to nine months?
John Garrison: We have implemented and I would say this you know across our product offerings, it's a competitive marketplace out there. When you bring a competitive product when you listen to the customer and bring to the customer a competitive product that meets their needs you're successful. We have seen where we've launched our new product, new product introductions really across our portfolio, when we've brought those new products to market place. We do see an increase in order activity enhance and improvement in our overall market position, as a result of those new product and service introductions. So we are pleased and that's why product development and innovative product development is a critical part of our strategy is not just the transformational priorities, they're absolutely needed across the business. But we also are focused on innovative products that meet the needs of the customer drive ROIC for the customer and in doing that we find that we're able to be successful in the marketplace. so yes, we are pleased with where we brought new products to the market crane specifically, but I'd make that comment generally across the portfolio, new product introductions, new service introductions, meeting needs of the customer, we can be successful, and that's why it's going to continue to be an important part of our capital allocation of driving organic growth through product and service development.
Joe O'Dea: Very helpful. Thank you.
Operator: Our last question comes from David Raso with Evercore ISI.
David Raso: The share count fully diluted at the end of the quarter, I'm just trying to get a feel for how much share report you have in the second half of the year to get the full year average share countdown 95, it seems fairly substantial is to make sure I know where we we're starting the third quarter?
John Sheehan: So at the end of June, we had 91 million shares outstanding and there's a common stock equivalent at this company of about $1.4 million, so there was 91 million shares, 92 million shares outstanding and here as of yesterday, we were in the 89 million range of shares outstanding.
David Raso: Okay, I assume well. I would think that implies the rest of the corner shares are no longer there by the end of 2017, so we think about the dividend for 2018 in late March, early April we should assume no dividend?
John Garrison: Turning over to Konecranes shares obviously we've sold down a significant percentage of Konecranes earnings just we all about 6.6% of Konecranes, let me say that obviously if you look at depreciation of the Konecranes shares it's driven about $300 million of value for us, so we think it's going to tremendous transaction for our shareholders as well as the Konecranes shareholders. So the dividend percentage into 2018 David would be significantly reduced even if we didn't - if we held our shares for the remainder of the year into 2018, I'm not going to comment about timing of share sales, we're obviously you know watching it very closely, we've been prudent with that investment, and we would see a significant reduction for no other reason than in our ownership percentage has fallen from 25% to 6.6%.
David Raso: And it appears when you think of 2018, the share count as much as you're saying 95 for the average for 2017, the math seems so just you're going to end the year right kind of how you start your 2018 modeling as well as about 85 million shares, 85 million shares is that a fair?
John Garrison: Yeah I think it's fair to think about a number like that, just to reiterate again though the assumption in the guidance with the 95 million shares is the completion of the existing share authorization, nothing further after that.
David Raso: Okay, that's helpful. And two small things, if my memory serves me when Fuchs starts working that historically when I was bared in construction it was a pretty high margin business, is that still the case and can you size that business little a bit of math I think you used to be $150 million, $200 million and I think is big anymore, but can you remind me the Fuchs margins relative to MP's average?
John Sheehan: So right now David, in terms of Fuchs contribution it is pulling down the overall average of MP as the volumes return, it has been a profitable business is one of the reasons why we decided to keep the benefits that dips in the MP portfolio, so we would expect overall Fuchs to be a positive contributor to the overall MP margins versus a drag on margins that is today as volume improves. And in terms of sizing, I don't think David we're going to want to begin the size in the specific components of the overall MP at this time, but I will say it's not helping margins today, but it is the volume returns it will be a positive contributor to MPs overall margins.
David Raso: I appreciate the time. Thank you.
Operator: Ladies and gentlemen does conclude today's presentation. And thank you for your interest in Terex, if you have any additional questions please follow up with Brian.
John Garrison: Thank you all again. Thank you for your interest in Terex and again if you have any questions please follow up with Brian or John or myself. Thank you.
Operator: You may disconnect.